Operator: Welcome to the Ceres Power Holdings plc Interim Results Investor Presentation. Throughout this recorded presentation, investors online will be in listen-only mode. Questions are encouraged. They can be submitted at any time using the Q&A tab just situated on the right-hand corner of your screen. Simply type in your questions and press send. The Company may not be in a position to answer every question received during the meeting itself, however, the Company review all questions submitted today and published responses where it's appropriate to do so. Before we begin, we'd like to submit the following poll. And as usual, I'm sure the Company would be most grateful for your participation. And I'd now like to hand over to CEO, Phil Caldwell. Good morning.
Phil Caldwell: Good morning, everybody, and thank you for joining us. I'm Phil, Chief Executive. And I'm joined obviously with Eric Lakin, our CFO; and Elizabeth, Director of Investor Relations this morning. I'm very pleased to talk you through the interim results for the period ending 30th of June this year. So the business continues to make good progress, both operationally and strategically. We've got a number of key activities going on, particularly with our two main licensee partners, Bosch and Doosan, progressing towards start of production. A significant milestone this year was Bosch receiving IPCEI funding of around €160 million for their facility in Bamberg in Germany. So that's obviously a big step forward, and we are very active with Doosan, which we'll talk about during the presentation. We made a big move into electrolysis just under two years ago, really. And I'm very pleased, in fact, that the testing that we've done so far, the progress we've made has surpassed expectations, and we've signed a number of collaborations. Obviously, we are already working with Shell and earlier this year, we signed a collaboration with Linde Engineering and Bosch, and we'll talk further about electrolysis during this session. And we are in active discussions with a growing number of potential licenses both on the SOFC side and interestingly more and more on the SOEC side. We are seeing very strong interest in this technology, and we strengthened our global commercial footprint now in terms of the business development team that we have pursuing these opportunities. On the technology side, we've passed some critical milestones this period. We have a new second-generation stack, which is designed for the industrialization and the scale up, and that's gone to a critical design review, and we expect that to go into production in our facility next year and obviously moving on into partners shortly after. And not insignificantly, we are pleased to say that earlier this month, we achieved FTSE250 indexation having been on the end market for quite a while which successfully graduated to the main market. I would like to address the issue of the Weichai, China JV. We are going to talk a lot today about a lot of the advantages of the licensing model in terms of its ability to scale its gross margins. The one downside is we are not always in control of our own timeline and we have a continued delay, as we've said, between Bosch and Weichai on the sign off of the JV. So as per the statement we made earlier this year, we've actually taken the associated revenue with the JV out of this financial period. But I would like to also point out though that our relationship with both Bosch and Weichai remains very healthy. We've, this year, been supporting the development of larger 120 kilowatt station units at Weichai in China, which are now on test at several sites. We have a new board directive appointment we've announced this morning with Dr. Sun, who is one of the leading technologists in Weichai's joining the service board. So the Weichai collaboration is very much remains strong. And we'll obviously update you when we can on progress on the collaboration between Weichai and Bosch as we go. So with that introduction, I'd like to hand over to Eric to go into the numbers of the first half in more detail, and then I'll talk to you again about the strategic direction once we've been through the numbers, Eric?
Eric Lakin: Okay. Thanks, Phil. So for the six months ending June this year, revenue is £11.3 million, so that reflects an increase of 17% from the same period last year, and that reflects primarily progress with our commercial partners as they move towards industrialization and we meet some milestones and KPIs during the half. Gross margin was up at 61% compared to 49% for the first half of 2022, and that reflects a combination of increase in revenue and also an evolving mix, and maintaining industry-leading sector margins. Gross profit was £6.9 million compares to £4.7 million in the first half of last year. That increase largely reflects the increase in revenue as well as the improved gross margin year-on-year. Adjusted EBITDA loss of £23.8 million in the half compared to £20.8 million loss last year. That reflects an increase in our expenditure on targeted investments for the future, which I'll come onto later. As a reminder, we made a change to our P&L reporting last year and we are being consistent with that now and the R&D expenditure credits, which is becoming quite significant, following an increase in the rates from those, we show as other operating income, no longer show within cost of sales. That's a separate line. So our headline revenue is our KPI, but other operating income, we pull out separately now includes RDEC, just reminder of that, and we've made a like-for-like comparisons for the prior year. In terms of the balance sheet, 30th of June position is £161 million. So healthy strong cash position, and employees of 586 compared to 570 at the end of the prior year. And that reflects a reduced growth in headcount as you reach critical mass and we are really targeting investments. And so we are going to see a slowdown in the growth of our headcount continuing through the year. Order backlog of £61.1 million compares to £67.8 million at the end of the prior year, and that reflects a reduction from the revenue recognized in that backlog offset by some new order intake in the half. And the other key metric for us was a planned partner capacity unchanged at 250 megawatts and that reflects 200 megawatts factory being constructed by Bosch and 50 megawatts from Doosan. In terms of the development and trends for revenue, gross profit and margin, as you can see, the revenue is relatively lumpy and that – a lot of the variability reflects the timing of license fee income and revenue recognition and that will continue to be the case until the point where our royalty revenue income becomes a significant part of the overall revenue mix. And the gross profit margin, as I mentioned before, is a combination of total revenue level of absorption of our factory costs revenue mix. So this slide here shows the different revenue components. I'll just give a reminder of what they are. Many of you will be familiar with this, but we've currently got three main contributions to our topline, engineering services, which is really time of our engineering team as we support our partners with collaboration and joint collaboration for system developments and manufacturing progression, that is relatively predictable and charged on a sort of hourly daily rate basis. Supply represents prototype technologies for the provision of sales and stacks and components for our partners. So existing partners for developing systems, but also new partners who are looking to test the product and with the consideration of potentially becoming new licensees. And that is recognized at point in time at the point of shipment of stacks and components, and that's, again, relatively at stable line. It was high this half compared to this time last year as we are supporting our partners moving towards start of production next year. License fee income, so that's a high margin, it can be a 100% margin. That includes both upfront license fees for technology transfer as well as ongoing development license revenue. The latter is the largest component of that right now. So typically with Bosch and Doosan, as we are continuing with the joint collaborations with them for the – under the collaboration license agreements. Royalties, we note here, that is all not yet part of our revenue. That is longer-term, high-margin revenue. And as a reminder, we receive royalties at the point of commercial sale of stacks into it – of systems, rather, into which our stacks go. So it's not triggered by stack production by partners, but ultimately by revenue. So we are not expecting material royalty revenue next year. Even though our partners are moving towards start of production next year on the series, mass manufactured production, but it become more material in 2025, when those stacks being manufactured go into systems, which are ultimately sold to end users. So that's the trigger for our royalty income, which expect to be increasing component of our business going forward. As I mentioned earlier, we continue to invest in a targeted way for the future. Investment in the future is defined by us as being our research and development spend as well as our capital expenditure, or CapEx as well as capitalized investment. So together, that reflects investments in capacity and capability for future revenue. It increased year-on-year, and a lot of the investment now is going into projects, particularly SOEC, it includes investment in our demonstrators, the SOEC demonstrators. So we've got two: one, first one for Shell, the second one for Linde and Bosch. It also reflects significant investment in our test capability, including the outsourced test with HORIBA MIRA. There's an image on this slide, which shows that new test facility in Nuneaton, which was inaugurated this year, and also development in fuel cells, particularly investments in future fuels compatibility, and as Phil mentioned earlier, the next-generation of sales and stacks, which provides performance improvements and reduce costs. The spend is down from last six months, we are, again, as I mentioned before, having very focused targeted investments and to the level of growth of our investment in the future will be less than prior years as we get to critical mass. And some of these one-off projects such as the system, demonstrates of SOEC, they will effectively come to an end towards the end of next year. In terms of the cash outflows or cash burn, it is reduced from this time last year and certainly the prior six months as well. And that is reflection of – partly we had some one-off benefit. We reduced receivables in the half. There was a significant outstanding receivables balance at the end of last year with existing partners, which got paid down early in the half. So that's a one-off benefit that won't repeat in the second half. But having said that, we expect the cash outflow in the second half of this year to be less than the second half of last year, so still second half loaded, but the overall cash outflow this year, we expect to be lower than prior year as we manage our cash carefully, and ensure it's being invested on the right with the areas of highest return. It's also worth noting we are benefiting from having a strong cash balance and higher interest rate. So we are making sure we safeguard our funds and deposits, with only high – very high investment-grade counterparties. But ensuring a reasonable economic return for those and the effective interest rate has improved significantly year-on-year. So we had interest income of £2.8 million in the first half compared to just £0.7 million in the first half of last year. And we expect a similar type of interest income for the second half as well. And with that, I'll hand back to Phil.
Phil Caldwell: Thanks, Eric. So I'd just like to spend a little bit of time talking about the strategic progress of the business. As you maybe aware, we view this technology as a platform technology that addresses both the power generation side and now the green hydrogen side. So it's quite unique in the industry. On the power side, we are obviously targeting distributed power, commercial power, and potentially maritime applications as well. On the green hydrogen side, we are very focused on industrial decarbonization. We see the market opportunities for this being green steel, green ammonia, and the future fuel synthetic fuels market, where we have a very distinct advantage. Our execution of this strategy is based upon three pillars. One is enabling our licensed partners to succeed. What that means is supporting our partners as they scale up because our target is to get multi gigawatts of production of this technology in place by the end of this decade. That's what ultimately turns the business into royalty generating in a very profitable business. We are moving forward on that with both Bosch and Doosan. And as we've mentioned, we'll come on to the funding of that that helps from the European Union. As well as our existing partners, we are building commercial scale. And part of that is obviously the move into electrolysis where we see huge market opportunity and building some of the initial partnerships with Shell, Bosch, and Linde. Those demonstrations are obviously key. But also we are building a wider engagement across the hydrogen value chain. The hydrogen side of the business is quite different from the power system side of the business, and that's why we are engaging with end users, EPCs and manufacturers, and we'll talk a little bit about that in a few minutes. And the key, obviously, is a licensing businesses to maintain technology leadership, hence, a lot of our investments going into next generation of stack technology, next sets of materials, both for FC and for EC, and continuing the innovation on the IP side and capturing that, both for the fuel cell and the electrolyzer systems. So just a couple of key points of highlights. Doosan's 50 megawatt factory is nearing completion. And by that, building is complete, all the equipment is in. We've got teams on the ground actually starting to commission that equipment now. And that's on schedule for commissioning into the second half of 2024. Doosan has obviously secured domestic supply chain, which is what we expect and laid the foundations beyond the 10 kilowatts system into higher power applications, particularly targeting some of those markets I talked about in marine and commercial power. And they have the relationships as mentioned here with Shell and the Korean shipbuilding and offshore engineering. So very strong relationship with Doosan. Here you see Stefan Hartung, Chief Executive at Bosch, looking very pleased to receive his €160 million of IPCEI funding, and that's specifically for the mass production of our technology. So that's to fund the solid oxide fuel cell program and scale up or it's a contribution that the whole investment by Bosch is closer to 500 million. What they have developed is systems that offer the plug and play up to a 100 kilowatts, and they've got that in various demonstrations you can see on their websites, including, for applications like hospitals and for data centers and those kind of applications. And moving on expanding the relationship with Bosch, obviously, Bosch as a manufacturing partner, a logical step could be into the SOEC market. And what we have signed this year is that relationship with a three way between Bosch and Linde Engineering to demonstrate, again, at a megawatt scale, our system on a facility in Stuttgart in Germany. This is going to be slightly different from the first system deployed with Shell because we see this more of a test bed where we can actually put in newer versions of the technology. So more of a development partnership than the pure demonstration that we have with Shell. And obviously, our interest in this relationship is Bosch is a mass manufacturer and Linde as a leading EPC and system integrator are key components into that value chain. Here we've got a video, a very short video if we can show that of the first system, being actually installed at AVL SCHRICK in Germany. So here you see the containerized system for the first time with the electrolyzer modules in it. And that's actually, literally, going through hot commissioning now. So we expect to be making hydrogen with this system any day now, and that's the validation step before that system then gets shipped to Bangalore in India, with Shell at the end of this year. I think that's a pretty impressive achievement from a standing start of less than two years to get to that megawatt scale. I think the other thing that's very exciting about this technology is the types of efficiencies that we are getting already, that without heat are in the mid 40, 45 kilowatt hours per kilo or less going down into the high 30s of kilowatt hours per kilo of hydrogen. That's world class in terms of with heat integration and potentially without heat integration as well. So I think the data that we are going to get from this pretty soon will validate this technology, particularly for the industrial decarbonization markets and potentially into the non-heat markets as well. If we can move on. And what we have then is a modular scale of concept. I mentioned, we have the next-generation of stack technology, what we've been doing over the past year or two, and some of you may have seen this in our CP2 facility is we've now gone to larger footprint cells, which then enable us to build larger building blocks and also lower cost much simpler to manufacture stacks, and some of that work we've done in collaboration with our scale up with Bosch, and then we are building those into arrays. And the first modules that we've developed are 1 megawatt demonstrators, but we are now looking at a larger scale building blocks, which will then be built into repeat units into 100 megawatts to gigawatts scale. And the area that we are looking at now is how we scale these on the right and we are doing some work with a number of EPCs on how you actually take it from low megawatts to hundreds of megawatts to gigawatts. So that's the logical progression that the company is making in this electrolyzer market. And as I mentioned, it's a different industry that we are now playing in for the hydrogen side of the business. So service as a technology provider, works with our stack manufacturers and module manufacturers, and then we are doing a lot of work in relationship buildings with EPCs and system integrators and also the hydrogen end users. So the way we see this, for example, is Shell would be a hydrogen end user. Linde is a potential EPC or system integrator and Bosch is a manufacturer. So that's the kind of ecosystem that we are starting to build on the electrolyzer side. So in terms of the outlook for the year ahead, I think, what we've done over the past year or so, is really do some of the hard yards on scale up. We've done some really solid work on the next-generation of stack technology, which is now coming forwards. We are supporting our partners on second and third factory builds. So this will be after CP2 and Doosan in Germany. We've done this three times now in terms of taking it from pilot scale into mass production. As you can see, the level of engineering that we've been able to do, all the electrolyzer, and all those modules is all built by servers. So that's not something that we've had to rely on others for. We've outsourced some of the engineering to build it, but it's all our design, it's all our capability, and that's quite impressive on the demonstrators with Shell with Bosch and Linde. The full-year revenue growth, I mentioned, obviously, [refustrated] by the delay in the China JV, but depending on signing of new licensed partners, we still can expect full-year revenue growth this year. And we are building a pipeline of interest both on the power side and on the electrolysis side. And I don't think we are that far away from now being able to offer electrolysis as an offering now that could be licensed. And the work is underway on the next scale of modularization to enable us to address hundreds of megawatts to gigawatts of the green hydrogen opportunities, which we clearly see as a big opportunity, and we'll be an increasing focus for the company going forward. So with that, I'll take any questions with Eric.
Operator: That's great. Eric, Phil, thank you very much indeed for updating investors. Gentlemen, please do continue to submit your questions using the Q&A tabs situated on the right-hand corner of your screen, which is why the company take a few moments to record, to review those question submitted today. I'd like to remind you the recording of this presentation along with a copy of the slides and the published Q&A can be accessed via your investment company dashboard. Phil, perhaps if we could take the questions from the room first, and I'll start over, sorry.
Erwan Kerouredan: Thank you. Hi, Erwan from RBC. Just one question for me please, on Doosan. Is it fair to expect first production more in 2025 now versus late 2024?
Phil Caldwell: So we've got – we expect stack production in 2024. As in the – like I said, we've got teams that are now very active. You go to cold commissioning, hot commissioning, and then into production. If you're talking about the whole system production, I think, that's going to be late 2024, possibly 2025, but that's really Doosan's – we're not involved on the system side of this application with Doosan. That's Doosan doing that scale-up in production.
Erwan Kerouredan: Understood. Thank you.
Alex Smith: Hi. Alex Smith from Investec. Just a quick one on the electrolysis business. I guess, you kind of commented that it could potentially be one of the largest parts of the business towards the second half of the decade. It seems like quite an aggressive ramp up from where we are today. If you could maybe outline maybe the key milestones, I guess, you could – looking at produce, well – looking at a product would be 2 to 3 megawatts that can then be modularized and sold, but maybe the key milestone to the next two years to kind of get you on that path.
Phil Caldwell: That's a good question. I think the key, look, first of all, the megawatt scale demonstrator is, obviously, a key milestone because in this industry, people want to actually be able to touch and kick something that's real and of a significant size. And also, we want to demonstrate – we've obviously done a lot of module testing. We want to test it in the whole balance of plant, larger system arena. We know that that megawatt is literally a test bed. So the work we're looking at is the modularization of that. So what's the next or not the next? What is the minimum viable module size that we need to be able to scale to address that market. And we're doing, like I said, we're doing work on that with EPCs now because we're not necessarily experts in that that we need to work with industry on that. And probably they won't be containerized systems in the future. They'll look and feel a lot more like chemical plants. So that's going to be a key step for us. And I also think the next key step will be signing licensees. So what we have with the interest from Shell and Linde and Bosch is really at the demonstration, the evaluation phase. But what we are seeing is given the potential of the performance. And if you remember when we did the electrolysis teaching, you're talking about a 25% saving in OpEx, a 25% saving in CapEx, a 25% saving in upstream renewables that you don't need to have. If you're 55 kilowatt hours on conventional low temperature electrolysis, and you can get down to 40 or below with SOEC, that's a big saving on the upstream capacity that you need. So I think that's really becoming a compelling sales case for this technology. Because of that, we're seeing people who are interested in early adoption. So they're the proof points, which is get the megawatts scale up and running, the modularization for larger scale and licensing partners, and I expect all of those in the coming year or so.
James Carmichael: Thanks. Hi. James Carmichael from Berenberg. Maybe – could you just provide a bit more detail on the second-generation fuel cell stack that you've outlined, maybe anything specific you can give us on the cost and performance improvements? And then just to confirm, but I think it's right to say that that doesn't automatically flow through to existing licensed partners, but they need a new license to get access to that. And then just a quick second one just on, I guess, the big sort of moving part for the second-half is signing a new licensing partner in terms of the P&L. Could you maybe just sort of give us a bit on your level of confidence there and how that could impact the gross margin? Thanks.
Phil Caldwell: Yes. Well, I’ll take the second part of the question first. We've got a number of active, I can't say too much, but we're quite advanced on a number of opportunities. You can never guarantee timing or if they're even going to happen, that's just the way the pipeline works, but I think, there's a good – we've got some good candidates there that would satisfy what we need for the targets that we've got for this year. But obviously, they're not certain yet. So I'm not going to make any future forecast on that. In terms of the next-generation of cell and stack technology, it's quite simple. We've actually gone to larger footprint, streamline the number of processes, the number of repeating units that it takes to build cells and stacks. So that has a knock on effect in both the CapEx and the OpEx. When we do license deals with Doosan and Bosch, we have KPIs on the cost per unit of stacks produced, and we are hitting those KPIs with these designs and also the previous generation as well. Your question about does everybody get it automatically? It depends on the nature of the license. But very often what we do is based upon minimum royalties or minimum payments, then there are technology refreshes that come into the license. And look, it's part of our long-term partnership. We want our partners to be competitive and stay ahead, and that's how we justify our – I know that technology leadership I talked about, we have to maintain our value to continuous innovation.
Eric Lakin: So just to pick up your specific question on gross margin. If we – as we've talked about with a new license partner, if achieved this year to support the revenue, the technology transfer, the license element will be effectively or close to 100% margin. So the margin in the second half would be higher than the first half should we make the consensus revenue.
Edward Maravanyika: Good morning. It's Ed Maravanyika from Liberum. Just a question on Doosan. Do you have any visibility or any sense of whether they've tied up sales to their customers? So because you mentioned that it's not production that triggers revenue, but actual sales.
Phil Caldwell: We do have some visibility on that. But again, I think, I'd refer you to their public statements because they have a public listed company. So you have to follow Doosan's guidance. But obviously, what I can say in South Korea, they have an existing market already with the phosphoric acid business. So they're selling into a distributed power market already. Government has very ambitious targets for the penetration of fuel cells as a renewable technology by – I think, it's 16 gigawatts by 2040 or something like this. So they're very much backed by government policies as well. So all of that helps, but in terms of a specific sales number, I can't comment on that. But again, I think Doosan is quite useful because it’s public. So you'll see – in the fullness of time, you'll see that their own communication on that.
Nick Walker: Thanks. Nick Walker from Peel Hunt. Three quick questions, if I may. First of all, there's a lot of talk, obviously, in your statement and obviously some of the sentiments you've got today that quite a lot of the emphasis of the company is shifting towards electrolysis. And you're saying that's going to be the bigger part of the business mid-decade onwards. My question is, why do you think that given that your power business, obviously, with Bosch and Doosan and others, would you say that is not taking off as fast as you thought it might be, and that the kind of the offer is quite compelling, in my view, obviously, particularly with regards to efficiency and cost saving of power, which should be of concern to everybody in the world. Would you say that sort of the interest level generally globally and within your customers is moving towards the hydrogen potential? I'm just interested in that sort of power versus hydrogen emphasis within the customer base. And if you see the, obviously, the horse is traveling, if you like, in terms of speed, first of all. Secondly, with respect to once your partners, Bosch and Doosan and others start to manufacture and obviously generate royalties. As you said, you're not in control of that clearly. Is that going to enable you or hinder you from giving guidance going forward from the company's perspective, okay? And thirdly, just quickly, with respect to AVL. Obviously, you've mentioned quite a few times that there were quite a few sort of new prospects in the hopper, some of which were quite advanced, has AVL been quite a significant generator of those system opportunities?
Phil Caldwell: Okay. In terms of the market pace, we still see big market opportunities for SOFC. I think what we're seeing is if you look at the demand now, there's more and more demand on the green hydrogen side than on the fuel cell side. Would I say FC has slowed down perhaps to some extent with what's happened in Ukraine gas prices locally. That's obviously given people a little bit of push for thought maybe in European markets. I think in the Asian markets, I still think natural gas is going to be a big driver in the future. And when some of the people we're talking to for potential, for new SOFC licenses are in that part of the world. So I think it's a bit of a geographic play, to be honest, Nick, in terms of where we see the demand is coming from. But I think what we are realizing is the way things are going, the green hydrogen side is going to be even bigger demand than the fuel cell side, and we want to make sure that we are in the game and go fast enough to capture that. So I think that's – we could take approach of the strategic question we're going to face is we'll keep FC going to – as primary and then slowly build a EC or put the accelerator on to EC as well. And I think that's probably – well, that's what the market's telling us is the sensible thing to do is to accelerate EC. The second question I didn't quite understand. Can you repeat it? Or did you – or maybe I have got it.
Nick Walker: So what's our ability to support guidance or revenue forecast from royalties given it's a partly out of our hands, it's our partners selling?
Phil Caldwell: Yes. So yes, so it's a good question. So this will be a new, obviously, revenue stream for us. So we'll – but there's two. So formally, it varies by a contract. We have rights around some estimates of what the royalties could be, and also there'll be sort of quarterly updates from the partners. So we'll be able to see not just annually, but an ongoing basis what their sales are. We also need to establish, as you imagine, a new processes for auditing, reviewing those sales and agreeing the royalties that will be due to us. So that's all understood and effectively embedded in the contracts. Informally, there are partners. They're not just customers, so we'll have ongoing dialogue and conversation with them as you do today, but it'll evolve into getting a sense of their pipeline opportunities and sales forecasts. So I think, whilst it won't be an exact science, and it'll depend ultimately on understanding the timing of their manufacturer and building inventory and ultimately selling, I think, we should have a reasonable handle on understanding what those royalties would be at least on a short-term basis.
Eric Lakin: That was the third question on AVL.
Nick Walker: Has AVL been a significant generator for your prospects?
Phil Caldwell: I think AVL hasn't materialized in the way we hoped. So it has had its generated prospects, but not of the material scale that we've hoped for. The new prospects that we are pursuing right now is coming at C2, our extended commercial team. So we've actually invested regionally in our own sales team and that's really where these opportunities are starting to come from. But I mean, one thing on AVL is they've been a key partner in the build and test of that video that you saw there, that's at the AVL SCHRICK. So they are still a very useful partner for us in some aspects of the business.
Ken Rumph: Hi. Ken Rumph from Goodbody. Two questions. Firstly, just where in the boiler wars, if you like in Germany, to phrase it that way. Obviously, Bosch aren't intending to make a boiler in a sense. They're now talking about kind of 100 kilowatt units for data sets and stuff, but where does a gas with the potential for hydrogen or other fuels technology fit in where we've ended up in Germany? Second question was just, once again, updating on Japan. You've got a partner there. Nothing much has happened really, but it's another Asian market that is interested in both fuel cells and hydrogen.
Phil Caldwell: Yes. Look, I'm not an expert on the German market. I think boiler wars, as you call it, is I think something that's not clear at which way that's going to go. I think the offering of Bosch is very different because it is basically distributed power at a very efficient scale and is hydrogen ready. And Germany is looking at putting hydrogen into gas grids, et cetera, in the future. I think though that kind of rhetoric and sentiment probably doesn't help if you're targeting something as a boiler, but this clearly isn't. This is something a lot more sophisticated than that. Japan is interesting actually for me because, look, we've been doing business in Japan for a number of years. I think Japan has lost the way in terms of its leadership that it had on fuel cells where if you'd go back as far as like any farm units and the big push they had on automotive and with fueling stations. However, just this year, consistent with the approach around the world, I think, Japan has announced over a 100 billion of funding, a government policy funding directly now into Japanese companies. So a bit of a mini IRA-type approach or a mini IPCEI approach, not even mini, pretty substantial is happening in Japan as well. So we're starting to see renewed interest now in Japan in hydrogen technologies, but that's a fairly recent step, I would say. So it's still – again, we've got sales office in Japan and Korea in that part of the world as well. So it's definitely an interesting market for us, but it's only just, I think, waking up again.
Sean McLoughlin: Sean McLoughlin, HSBC. A couple of questions from me. Can I just get your view on Weichai's change of Board member? Any reasoning for the switch? And Dr. Sun, in the release talks of the next phase of the partnership. If you could just maybe elaborate on what that means and maybe changes you'd expect with Dr. Sun. The second question maybe more for Eric. You mentioned tapering of R&D. Is this – how do you, let's say, is this sensible? And how do you make this work with your ambition to conserve technology leadership and stay ahead of peers? Thanks.
Phil Caldwell: I can comment on the Board change. I think, Powell, who was our previous Board member, served for three years. He's a really good guy, but he was a corporate development type of person who was involved in the original JV, negotiations, et cetera. Dr. Sun heads up a lot more technology and is responsible for SOFC within Weichai. So it's a lot more, I think, hands on and closer to the core business of service. So I think it's a positive step because I think he's very capable and actually, like I said, is closer to the technology and closer to the business. So I think it's a kind of a natural cycle for the Board member to change, but I think it's a good appointment.
Eric Lakin: Yes. Thanks for the question, Sean. In terms of R&D, let me clarify. There's two things going on. So first of all, to your point, R&D continued investment is absolutely key to our business, both staying at the forefront of SOFC technology as well as electrolysis. And that will continue and we've invested a lot in people, the capability, and that will continue. And so as elements of that will be stable if not continue to grow. The tapering point is really – and our total investment in the future, which covers R&D OpEx, CapEx capitalized development, it includes some non-recurring significant projects, right, and that's the ones to call out would be the two demonstration units we've mentioned, which are not small costs. I won't clarify what they are, but they are, that includes all of our own stack production, which is internal consumption for R&D, which is expensed the module developments, the container, and those projects will continue through to next year, but after next year, they won't be repeated. We're not planning more than to demonstrate at this point. Similarly with the test infrastructure, significant investment, a lot of CapEx, but some OpEx as well, that goes into the capability, so particularly with an uneaten building. So it's a fabrication of test units, which don't come cheap, but also development of the site for test capability. And again, that will be phasing out towards the end of next year. So I think the point being in terms of we look at our total spend and cash burn, there are known projects with a finite life, but this underlying investment will continue, for sure, particularly materials science engineering.
Operator: Okay. If there are no more questions in the room, maybe I hand back to Elizabeth for any that maybe online that you should address.
Elizabeth Skerritt: Thanks, Mark. We have five questions. If I can just come to you first, Phil, we've got a couple of questions understandably around the SOEC business. So perhaps you could elaborate on the time frame for trials in SOEC to actually convert into licenses and maybe bundling with that someone asked when will green hydrogen opportunities be significant in replacing gas? So I guess if you could also just touch on actually, again, where we see those SOEC opportunities.
Phil Caldwell: Yes. So the demonstration plans that we have our Shell delivery by the end of this year, installation commissioning early next year an operation, then I think it's something like a two- or three-year period. It won't take us that long to actually get the data that we need and the confidence that we need in the performance of that, but that's going to be a key milestone. The Bosch, Linde unit is about a year behind that. So planning for late next year. So we're building that second unit now, but then we've got a – and Bosch are actually preparing the site and then installation later next year. That's initially a two-year period, but like I mentioned, we have the capability in that relationship to put different modules in different next-generation of technology into that. So that's probably something that we'll keep on an ongoing basis. We kind of view that a little bit as a potential extension of our test capability. Because when you're testing electrolysis on that scale, you don't have it. It's not an insignificant energy build you've got in terms of electricity costs and everything to actually generate and you need a – somewhere for that hydrogen to go as well. So these facilities are incredibly valuable test beds for us, because the real world applications, but also the running costs of that are borne by our partners as well as contributions towards the project costs that Eric talked about. In terms of when green hydrogen comes significant, I think versus natural gas was the question. We are not targeting generating that green hydrogen initially to put into gas grids. This is really targeting industrial applications. So this is hydrogen potentially to produce green steel, hydrogen to produce ammonia, hydrogen is part of the synthetic fuel process. That's where we see this technology. So I think you're still quite far off when you'll see hydrogen and gaskets, because I think the primary, the first use of hydrogen will be an industrial decarbonization. It's absolutely essential. It's a no-brainer and it's a high value application.
Elizabeth Skerritt: Absolutely. Thanks. And [Anastasia] is on the line from Goldman Sachs. She's asking which other EPC providers do we – are we thinking about collaborating with beyond those that we've announced in Linde and Bosch?
Phil Caldwell: We've got a number that we're either working with already or starting to talk to. So I'm not going to list them off here, but obviously if they become significant, we'll announce them.
Elizabeth Skerritt: Yes. Absolutely. There's a question on the line. In terms of the North American market, excuse me, and whether we're looking at that closely and if we have a view on the sort of competitiveness of that market.
Phil Caldwell: We are looking at that closely. We've just, again, put a regional sales person into that area. We're starting where we have collaborations with some of the national labs and places like that where we can demonstrate technology. There's a lot of excitement about the U.S. market because of the Agri Bill, but that tends to be on a tax credit kind of basis. So it's more at this point favoring people who are actually getting into the production and we're actually looking at how do we actually get access to developers of the technology, but it's definitely a target market for us, and we'll keep you up to date on that.
Elizabeth Skerritt: Great. Thanks. And Eric, perhaps I could come to you. There's a question here just asking, Doosan’s current cash reserves cover the investment required to bring us through to profitability?
Eric Lakin: Okay. Yes, good question. Yes. So as we've talked about whilst healthy balance sheet, strong cash position, no debt. We've got to, obviously, track the cash burn very closely, we've been managing our costs whilst ensuring we balance that with investment for future growth. It really comes down to commercial outcomes and the timing of that. So very comfortable where we are. But the future cash flows over the coming years will clearly depend on the ramp up of revenue and the timing of those, our new license partners as well as royalties.
Elizabeth Skerritt: Thanks. And there's a question here. It doesn't specify where, but asking, do we have any plans to do a dual listing? I'm assuming that’s on the U.S. market, but then?
Eric Lakin: No, not yet. Not currently. I think, give us a chance. We've only just got onto the main market.
Elizabeth Skerritt: Yes. I was going to say, don't tell me that's my next job. Great. And just to close out, maybe, somebody asks, do we have any view on the UK government green energy policy and what else might we like to see?
Eric Lakin: We'd like to see a UK IRA-type bill, that would be very helpful. Look, I think – look, the UK is in a state of flux at the moment, and my concern is honestly speaking that the green agenda is being politicized to some extent, which isn't helpful. But we're not expecting a great deal more to happen until the next election, really. Personally I think there is a – the UK is falling behind in terms of policies when you look at what's happening in Europe, in the U.S., in Japan, as we've talked about today in South Korea. The good news from sellers’ point of view is, we indirectly benefit from IPCEI funding to our partners and others. We can do the same in other parts of the world, but I would like to see more direct support for innovation and development of UK companies in the government. But I think we're going to have to wait until the next election to get clarity on whether that's even possible.
Elizabeth Skerritt: Great. Thanks.
Operator: Thank you, Elizabeth, Phil, Eric, for updating analysts this morning and the attendees investors online. Company ask investors online not to close this session as we'll now automatically redirect you for the opportunity to provide your feedback in order that the company can better understand your views and expectations. This will only take a few moments to complete, but I'm sure it'll be greatly valued by the company. And part of the management team of Ceres Power, we'd like to thank you for attending today's presentation. Good morning, to you all.